Unidentified Company Representative: It is time. So we would like to begin Mercari's FY'24 ending in June full year earnings briefing. Thank you for joining this session and taking time out of your busy schedule. I'm the MC today. My name is Kyoko Kane. Thank you for having me. So I would like to go over the topics that we will cover today. First, CEO, Shintaro Yamada, will be talking about the midterm policy. And then afterwards, SVP of Corporate and CFO, Sayaka Eda, will talk about the FY'24 performance as well as the FY'25 ending in June, financial forecast and business objectives. Please refrain from streaming the entire video presentation. Without further ado, Yamada will begin his explanation.
Shintaro Yamada: Thank you for taking part in Mercari's full year earnings briefing for FY2024 ending in June. I'm Mercari's CEO, Shintaro Yamada. These are the topics we will be covering today. First, I will provide a summary of the last fiscal year and then Eda will describe it more in detail. This fiscal year, we focused on balancing growth and profitability while creating new businesses and accelerating the growth of existing businesses while looking 10 years ahead. As a result, as a group, we marked record high consolidated revenue as well as core operating profit. So we made steady progress this year. In particular, we were able to strengthen the profitability of our existent businesses. With respect to marketplace, the adjusted core operating margin reached the upper limit of the full year target of 40% and Fintech realized high revenue growth and core operating profit. Moreover, the core operating loss of the US business significantly decreased. Secondly, we did well with respect to new services and areas we wanted to enhance. We launched Mercard at the end of 2022 and we've issued more than 3.4 million cards now and Mercari Hallo, which we launched in March this year, welcomed 5 million registered users in nearly three months after launch. GMV from crossborder transaction has grown 3.5 times year-on-year and the GMV from B2C has grown 2.7 times. So these enhancement areas grew dramatically during this past fiscal year. On the other hand, what I believe we could have done better was accelerating the growth of our existing businesses. We wanted to achieve significant top line growth with our Marketplace business, but we did not get satisfactory results landing at 9% year-on-year GMV growth even though we were aiming for over 10% growth. Furthermore, with respect to the US market, there are still challenges we need to address as we were unable to get back on the growth trajectory, partially due to impact from extraordinary factors. We will make sure to learn from this and apply our learning to our future growth. This fiscal year, we made great strides with respect to our organization by building a global organization foundation and strengthening our governance. With the transition to a company with a nominating committee, we further improved effectiveness as a Monitoring Board and with the nominating committee, we are currently developing a succession plan. Next, I would like to take you through Mercari Group's midterm policy. Our group mission is to circulate all forms of value to unleash the potential in all people. We would like to realize a world where people are on the world will be able to do things they weren't able to do before, contribute to society or lead unique enriched lifestyles. To do so, technology will play an important part in connecting people around the world. And by using cutting-edge technologies such as AI/LLM and Blockchain, we hope to build an ecosystem where all types of tangible and intangible values can circulate. To achieve our mission, we have continued to grow while creating group synergy by using our business platforms such as Mercari C2C MAU to expand our services to Mercari B2C and on-demand work. This thinking will not change. We will continue to expand into areas where we can utilize our existing businesses and thereby realize discontinuous growth. Here are the midterm objectives and focus areas for each of the key businesses. First, starting with Group-wide. To build an ecosystem, we will work with various external partners and promote global expansion by growing our US business and strengthening crossborder transactions. Moreover, to create a business foundation to support our growth, we will create a borderless organization where talent from all over the world can thrive and continue to strengthen our I&D efforts. With Marketplace, we want to achieve stable growth of our C2C business and lead the market with rapid growth of crossborder transactions and B2C businesses. To do so, we will utilize AI/LLM to redesign the UI/UX of our services and strengthen our high price point categories. Regarding on-demand work, we will increase the number of workers and partners to become number one in the industry. For Fintech, we will continue to realize group synergies with respect to payment and expand our credit balance so that it will become Mercari Group's second revenue stream, achieving more than JPY10 billion in revenue. In the US, we will, in principle, continue to achieve breakeven focused on acquiring users from our main target group, Gen Z, and expand crossborder transactions from Japan. We will continue to hone our services to realize sustainable growth. This graph describes the next three years of Mercari Group's growth. Marketplace has grown rapidly, surpassing JPY1 trillion in GMV. Each year, rapid growth is becoming increasingly more difficult, but we still believe there is ample potential. Thus, we will continue to realize steady growth and high profitability. In addition to stably growing C2C, we will add high-growth potential B2C crossborder transactions, on-demand work Fintech and the US business, so that our group will be able to achieve double-digit revenue growth over the next three years. Since our founding, we have continued to prioritize rapid top line growth. From FY'22, second half of FY'22, we have incorporated the concept of profit into our management policy. Thus, we started focusing on balancing top line growth with profitability and on improving the group's earning potential. In FY'25, we will take this a step further and achieve significant top line growth that is accompanied by increase in profits. To grow in the future, it's essential to invest in rapidly growing businesses. We will invest in rapidly growing businesses capable of creating group synergy to realize our core OP CAGR of 25% as a group by FY'27. This concludes my explanation, Eda will take it from here.
Unidentified Company Representative: SVP of Corporate and CFO, Sayaka Eda will talk about the FY'24 financial overview as well as the financial forecasts and business objectives for FY'25.
Sayaka Eda: Good afternoon. My name is Eda, Mercari's CFO. I will take you through the financial overview of FY'24 and our business objectives for FY '25. This is the consolidated results. As Yamada mentioned earlier, from here forward, in principle, we will grow the top line as well as increasing the core OP. As you can see that the Marketplace has been growing steadily and the Fintech business has grown rapidly as well. So we have achieved revenue growth of 9% year-on-year, landing at JPY187.4 billion. The core OP, the Marketplace has become highly profitable and the Fintech business has become profitable as well. And the reduction of operating losses in the US, these factors have contributed to our core OP, which was plus 30% year-on-year finishing at JPY18.8 billion. Thus, we have marked record high revenue and core OP. This is the consolidated results by quarter. The Marketplace growth rate was slightly slower than expected in the fourth quarter. And as a result, as a group, we timed our investment in response to the top line situation. So the operating core profit was JPY5.4 billion. And I would like to start with the Marketplace summary. So this is a policy that we introduced at the beginning of this fiscal year. We have continued to make disciplined investments and focus on top line growth and we also undertook marketing activities and focused on enhancing certain areas. And we wanted to grow the operating margin by 34% and grow the GMV by 10% through these efforts. And as a result, B2C and crossborder grew significantly over the past year, we were able to see that and the loyalty program has contributed. But the full year GMV grew by 9% year-on-year. So it's a slightly which fell short of the 10% threshold that we were aiming for. The GMV for crossborder transaction grew 3.5 times and B2C 2.7 times year-on-year. And in March, we released the service, Mercari Hallo. And under three months, we have welcomed more than 5 million users. So it's doing quite well. And these will be supporting the growth in the future and they have steadily grown over the past year. Mercari Hallo is part of the Marketplace. In Mercari Hallo, this includes the investment to Mercari Hallo, but 30% to 40% was the OP margin guidance and we were able to book 40%, a very high profitability for this fiscal year. This is the full year results for the Marketplace. GMV and revenue increased. There is a slight difference in the growth rate. But we changed the way the sales were booked. And just the point were actually deducted from -- portion of the point expenses have been deducted from revenue and advertising expenses that's why you see that the figures are slightly different. This is the Marketplace profit and cost composition. And if you look by quarter, quarter-on-quarter, it does fluctuate. But from our point of view, we want to make sure that we hit our guidance throughout the full year -- over the full year. So we're not really too concerned about the Q-on-Q percentages. This is the Marketplace results by quarter. Next, moving on to the Fintech summary. The business objective we introduced at the beginning of the fiscal year, we were going to focus on acquiring Mercari holders and aim to enhance group synergy. FY'24, we focused on Mercari user acquisition and we have done well. So Mercard has been leading the Fintech business. And we achieved high full year revenue growth of 40% year-on-year. And the credit business has grown significantly. So our profit base has expanded significantly. And as I mentioned before, as a group, we wanted to focus on top line growth as well as disciplined investment. So we have been able to book full year core operating profit for the second year in a row. And in terms of the group synergy, with people who have Mercard, we've seen that the ARPU of Mercari cardholders on Mercari has improved by 50%. And also we have been able to reduce payment fees that we had to -- otherwise -- we would otherwise have to pay to external partners. And we started the Crypto service and in a little over a year 2.2 million accounts have been created. This is number one in the industry. So we have been able to acquire many casual users. This is Fintech results for the full year. As I mentioned before, the full year revenue growth was 40% year-on-year landing at JPY43.7 billion. And core OP was also JPY700 million. And these are the results by quarter. This is the breakdown of revenue as well as credit balance and collection rates. So from two years ago, we talked about the Fintech business. The credit business will be the profit center of the Fintech business. And as you can see here, the largest portion contributing to the revenue is the credit business out of all of the other Fintech businesses that we are offering. And year-on-year, it has grown by 60%, so it's growing significantly over the recent period. And fixed amount payment is, in particular, contributing significantly. And you can see that the credit balance has grown by 52% to JPY130.1 billion. But we're not simply just increasing the credit balance, we want to make sure that it is of high quality. So the collection rate is already high, but we have been able to further improve that. So we have been able to maintain and improve our high collection rate. This is a US summary. The business objective that we introduced at the beginning of the fiscal year was focused on refining the product to strengthen retention of existing users and aim to get back on track for growth and also focus on engaging Generation Z for future growth. Unfortunately, external factors including long-lasting inflation has impacted our business and we haven't been able to get back on our growth trajectory within this fiscal year. In March, we have actually offered a flexible fee in March to make sure that we have more listings and more -- actually the purchasers were able to, listers were able to list their products for free and purchasers, buyers would pay for the service. And so we changed the business model significantly. And as a result, we've seen some positive results, but we have not seen significant contribution to the GMV yet. Over the last fiscal year, we reexamined our fixed costs including marketing and payroll expenses, hence the losses shrunk drastically year-over-year. And in the fourth quarter, we've already restructured our organization. So in FY'25, we want to break the events. So we have, at the beginning of June, restructured our organization. These are the results for US. GMV and OP have grown negatively, but the adjusted operating profit, as I mentioned earlier, we reexamine the cost, continued to reexamine the cost. So we have significantly decreased the operation losses. These are the results by quarter. Next, I would like to tell you about the business objective for FY'25. Until now, at the beginning of the fiscal year, we did not provide a financial forecast. But starting FY'25 ending in June, we have started to provide a consolidated financial forecast. In terms of revenue, we talked about JPY184 billion, but this will grow to JPY200 billion to JPY210 billion. The core operating profit, last year, or FY'24 was 18.8% and we believe that this will grow 17%, 33% to JPY22 billion to JPY25 billion. The core OP will continue to stack up. And so the business will continue to grow. And we expect increased revenues from continued business growth and we believe that the core operating profit will also grow mainly in the second half of the fiscal year. This is a business objective. So we will expand the business, focusing on group synergy, and we'll make sure that the top line growth will be accompanied by profit increase. The guidance, as you can, as I announced earlier. Marketplace, C2C is our mothership, and we will utilize AI/LLM and redesign our UI/UX and we will also focus on strengthening high price point categories to grow the C2C business. In addition, FY'24, we saw that crossborder transaction in B2C grew rapidly. So these are enhancement areas and we hope that these will drive the Marketplace growth overall. And as a guidance, GMV growth will be around 10%. We expect adjusted core operating profit to be around 37% to 42%. As we invested in Mercari Hallo in FY'24, likewise, we will invest in this business to increase the number of workers, recruitment partners, there are many areas to invest. But the operating profit margin that we introduced does include investments into Mercari Hallo. Moving on to Fintech. In FY'25, we would like to transition into the continuous profit increase phase. And Mercard user acquisition is an area that we focus on, but in FY'25, we will continue to focus on user acquisition and also from our usage to new and existing users. In addition, we want to add features to cryptoassets. So we believe we want to aspire to a core operating profit of over JPY3 billion with the Fintech business. Next, moving on to US. We would like to get back on the growth trajectory, which we were not able to achieve in FY'24. We already started in July, but we have started crossborder transactions with Mercari Japan where US buyers can buy goods from Mercari Japan. So good quality inventory is our competitive edge. And so we are offering crossborder transactions. And in March, we talked about, we changed the fee model. So through these efforts, we want to reinvigorate demand and get the business back on the growth trajectory and breakeven this coming fiscal year. This is the Japan region group synergy overview. Until now, Marketplace, Fintech, of course, we utilized the assets that they both had effectively. And in FY'24, we added on-demand work to Marketplace. So this is the Japan region's group synergy utilizing the assets that each of these businesses have and we will improve UX of the product. We will more efficiently improve the product UX and execute marketing initiatives, thereby creating great synergy among these businesses. And I would like to go back. And I talked about this when I talked about Mercard, but by getting people to use Mercard, this will help increase the ARPU within Mercard and reduce payment settlement fees as well. So I mentioned that earlier, but in addition to that, Mercari Marketplace has an MAU of 23 million, over 23 million. And also we have 60 million confirmed users in Fintech, ID confirmed users. So these are very important assets, which we would like to utilize to help expand the user base for the other services. So of course we want to connect one business with the other and create synergy. And this is the business objectives for Marketplace for FY'25. So C2C stable growth. In addition to that, we want to focus on crossborder transaction B2C high growth. And through these efforts, we want to challenge GMV growth of 10% year-on-year and adjusted core operating profit margin of 37% to 42% as I mentioned earlier. B2C, I mentioned that it grew significantly last fiscal year. As you can see on the graph on the right, by 2030, there's great expectations for this market to grow. So as the market expands, we hope that we will be able to grow rapidly as well. Of course, C2C is going to be the mothership, the largest portion of Marketplace, but crossborder transaction B2C, this is a role that the B2C and crossborder transactions will play within the overall picture. So we talked about crossborder transaction, GMV grew 3.5 times year-on-year, but it is actually promoting purchases. So overseas customers are able to buy unique and high-quality inventory or there are many products that have been listed for a long time, but have not been sold. So it gives these product opportunities to be purchased. And we will also strengthen high price point categories to improve AOV of the marketplace overall. And with respect to B2C, this is strengthening listing, contributing to strengthening listing. So of course, the merchant can provide different types of products. And there are also products that not individual users can list, they don't have access to. So by increasing the number of merchants, we can actually increase the number of products and strengthen our categories. So crossborder transaction B2C, we want to grow these businesses to make our marketplace even more appealing. So that's what we would like to focus on doing. For Marketplace and on-demand work business objectives are, as you see here, as you can see, the market size, potential market size of on-demand work is significantly large. And we just started the service, but we want to make sure that our service can be utilized across the country and to become the -- and we want to become the number one service in Japan in the midterm. These are the business objectives for the Fintech business. The credit balance is growing. And of course, as I mentioned before, we will enter the continuous profit increasing phase. So credit will continue to grow, and this is relying, acquiring even more Mercard users and encouraging usage. And we also added a savings function to the cryptoassets business and we will also improve the UX as well to make sure that we can invigorate activities. These are the business objectives for the US market. So we want to commit to breakeven and aim to get back on the growth trajectory. That's the policy for FY'24 -- '25 sorry. I mentioned this earlier, but we want to offer Mercari Japan inventory to US users. So we started crossborder transactions already. So we would like to give these opportunities to US users differentiating ourselves. And we also updated the fee structure in March and we plan to utilize machine learning to implement a system that changes the fee rate depending on demand or category or pricing. And hopefully, thereby, stimulate demand and purchases. So FY'25, we want to breakeven in the US. And these are some of the discussions that we had internally to arrive at this goal. At the beginning of FY'23, we were creating a three-year plan and the third year is FY2025. And internally we wanted to breakeven in the third year FY'25. And at that point in time, we want to achieve high GMV growth to achieve breakeven. So in order to do this, so we wanted to add features, adjust marketing. But due to external factors as well, we fell short of our goal. And in March, we drastically updated the product and also fundamentally changed the fee structure as well. And we wanted to rebolster the GMV through these efforts. So we updated the product to rebolster GMV. As I mentioned before, we've seen some positive impact on certain KPIs. However, we need to make more adjustments to the fee structure. So at this point in time, we are not seeing sufficient impact on the GMV. So FY'25, just through the GMV growth, we won't be able to breakeven in FY'25. And so in June, we already restructured the organization including large-scale layoffs and because of that, to take responsibility, we cut the executive compensation over a certain period of time. In FY'25, we want to achieve breakeven in terms of FIRS core operating profit. Lastly, these are the financial policies. On a consolidated basis, in principle, we will strengthen our capital through top line growth that will lead to increased profits. We will diversify debt financing methods, lengthening financing periods and spread-out payment periods to strengthen our financial foundation. So we've done this, but we'll continue to do this to make sure that we have a stable financial foundation. And also Fintech and the credit business, in principle, we will focus on nonrecourse loans and we will promote nonrecourse receivable liquidation. And this is something that we've already promoted in the past, but we will procure funds in this way for Fintech in the credit business. So we want to stabilize procurement and also reduce the cost of procurement as well. This is going to be a high priority for the Fintech business. And our credit balance has become quite sizable, so we want to strengthen our control and interests. And with respect to shareholder returns, for the foreseeable future, we will prioritize strengthening our financial foundation through investment and growth opportunities and our internal reserves. So at this point in time, we do not have plans to pay out dividends. This concludes our earnings briefing for FY'24 ending June. Thank you.
Unidentified Company Representative: This concludes Mercari's FY'24 ending June earnings briefing. Thank you very much for joining us today.
End of Q&A: